Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Saputo Fourth Quarter Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Wednesday, June 5, 2013. I would now like to turn the conference over to Lino Saputo Jr. Please go ahead, sir.
Lino Anthony Saputo: Thank you very much, Albert.
Unknown Executive: Good afternoon, everyone, and thank you for joining us today. A press release detailing our 2013 fourth quarter and fiscal results was issued earlier today and is also available as we speak on our website at www.saputo.com. This call is being recorded and will be posted on our website for future reference. [Operator Instructions] Before we proceed, I remind you that certain statements that will be made during this call may constitute forward-looking statements within the meaning of securities laws. Caution should be used in the interpretation of such statements since management has made certain assumptions including, among others, assumptions regarding projected revenues and expenses and references to beliefs, expectations, objectives and strategies that are subject to a number of risks and uncertainties, which could cause actual results to differ materially from those presented in such forward-looking statements. For more information on these risks and uncertainties, please refer to the materials filed with the Canadian Securities Regulatory Authorities, including our most recent annual report, available on SEDAR. Any forward-looking statement made during this call is based on management's current reasonable estimates, expectations and assumptions, and we do not undertake to update or revise such forward-looking statements except as required under securities laws. Speakers today are Mr. Louis-Philippe Carrière, our Executive Vice President, Finance Administration; and Mr. Lino A. Saputo Jr., our Chief Executive Officer and Vice Chairman of the Board. After a brief presentation, we will conclude the call with your questions. Louis-Philippe will now begin the conference, followed by Lino Jr.
Louis-Philippe Carrière: Thank you, Cristal, and good afternoon. Before I comment on our fiscal 2013 results, I will cover our results for the fourth quarter of fiscal 2013, in comparison to those of the corresponding quarter for last fiscal year. On January 3, 2013, the company completed the acquisition of Morningstar Foods for a total cash consideration of $1.434 billion, financed through a combination of available cash and a new 4-year term bank loan facility of $1.2 billion. The Morningstar acquisition contributed to both revenues and EBITDA for the fourth quarter. The company incurred acquisition costs in relation to the Morningstar acquisition, as well as restructuring costs in relation to announced plant closures in Europe and Canada, totaling $22.6 million after-tax, of which about only $1 million is cash cost. Adjusted net earnings, which do not take into account acquisition, restructuring and impairment costs, amount to $129.2 million, an increase of $6.8 million or 5.6%. Consolidated earnings before interest, income taxes, depreciation, amortization, acquisition, restructuring and impairment costs, EBITDA, totaled $229.7 million, an increase of $28.7 million or 14.3%. EBITDA for our Canada, Europe and Argentina Dairy Products Sector decreased by approximately $1 million. Benefits derived from lower ingredients and other operational costs were partially offset by a less favorable dairy ingredients product mix in Canada. In Argentina, lower sales volume and selling prices, mainly in the export market, negatively affected EBITDA. Dairy Product Division Europe record a $1.1 million loss in EBITDA. EBITDA for the USA Dairy Products Sector increased by approximately $29 million. The additional EBITDA derived from the Morningstar acquisition offset lower sales volumes, higher operational and promotional costs and the impact of higher milk cost resulting from the revised milk pricing formula in California. These factors combined positively affected EBITDA by approximately $23 million as compared to the same quarter last fiscal year. An increase in the average block market per pound of cheese positively affect the absorption of fixed cost and had a favorable impact on the realization of inventories. Additionally, a less favorable dairy ingredients market negatively affected EBITDA. These combined market factors increased EBITDA by approximately $5 million. EBITDA for the Grocery Products Sector increased by approximately $1 million. Consolidated revenues for the fourth quarter totaled $2.53 billion, an increase of $349.8 million or 20.5%. This increase is mainly due to the increase in the revenues in the USA Dairy Products Sector with the inclusion of the Morningstar acquisition. During the fourth quarter, the company had approximately $82 million in property, plant and equipment, issued share for cash consideration of $12.5 million as part of the stock option plan, purchased share capital for $58.2 million in accordance with the company normal-course issuer bid and paid out $41.3 million in dividends. Now I would like to highlight some of our fiscal 2013 results. For the fiscal year ended March 31, 2013, adjusted net earnings, as defined previously, totaled $510.6 million, a 0.9% increase in comparison to fiscal 2012. And adjusted basic earnings per share was $2.58, a 2.8% increase as compared to the $2.51 per share on fiscal 2012. Consolidated earnings before interest, income taxes, depreciation, amortization, acquisition, restructuring and impairment costs, EBITDA, amount to $860.8 million, an increase of 3.6% compared to last fiscal year. EBITDA of the CEA Dairy Products Sector decreased by $15.8 million or 3.1% while EBITDA of the USA Dairy Products Sector increased by $44.5 million or 14.7% over the last fiscal year. The Grocery Products Sector EBITDA also increased by $1.2 million or 9.4%. Consolidated revenues reached $7.298 billion, an increase of $367.3 million or 5.3% compared to $6.930 billion in 2012. During fiscal 2013, the company added $178.2 million in property, plant and equipment, issued share for a cash consideration of $38.5 million as part of the stock option plan, paid $161.7 million in dividends and $190.4 million for the repurchase of share capital as part of its normal-course issuer bid. The Board of Directors approved a dividend of $0.21 per share, payable on July 18, 2013, to common shareholders of record on July 8, 2013. Lino Jr. will now proceed with the presentation of our outlook.
Lino Anthony Saputo: Thank you, LP, and good afternoon to you all. Reflecting on fiscal 2013, I'm satisfied with our accomplishments. Our revenues are up 5.3%. Our EBITDA has increased by 3.6%, and adjusted net earnings have increased close to 1%. Despite challenges and market factors, we had a good year. Our new management structure has been in place for 12 full months. This year was marked by strategic planning initiatives. The leadership team and I focused on putting forward our company's next steps. This fiscal year was highlighted by many important decisions, including the consolidation of distribution activities in the Greater Montreal area; the announced closure of 2 Canadian plants, one in Winkler, Manitoba and the other in Warwick, Quebec; and our exit from the European market. This year was also characterized by the acquisition of Morningstar Foods, which complements our existing portfolio in the United States, and will allow us to continue to develop new and existing platforms. Now known as Saputo Dairy Foods USA, this division complements the activities of our Cheese Division USA and offers increased value for customers and consumers. While Saputo Dairy Foods represents a sizable acquisition, we continue to have the human and financial resources to pursue growth through acquisitions. We are ranked among the top 10 dairy processors in the world, and we believe in the importance of embracing a global perspective for long-term growth. As we look to the future, we remain confident in our ability to develop new platforms and new markets, mainly through acquisitions. We are always on the lookout for new ways of working more efficiently and we continuously adjust our approach to take advantage of opportunities. Everything we do is driven by our purpose to feed the world with high quality and nutritious dairy products. We have the people, the financial resources and the passion to meet our growth objectives. And our accomplishments would not be possible without our outstanding team. On that note, I thank you for your time. And we will now proceed to answer your questions.
Operator: [Operator Instructions] Our first question comes from the line of Irene Nattel with RBC Capital Markets.
Irene Nattel - RBC Capital Markets, LLC, Research Division: First question I have is around the announcement you're going to change the segment reporting. And wondering why at this point, you decided to break out the dairy ingredients in a separate division?
Louis-Philippe Carrière: Essentially, that part of our outlook and the fact that we're going to segregate the -- or resegment, the way that we are presenting our financial information, essentially, through 3 sectors, the Canadian sector, on which we're going to include the Dairy Division in Canada, as well as the Bakery; the U.S. sector, on which we're going to combine the Cheese Division as well as the Dairy Foods Division. And finally, the International Sector, on which we're going to combine the -- our operation in Argentina, as well as the sales of Dairy Ingredients, as well as the export cheese from North America. Essentially, that's -- we are going in that direction because that's the way that we are looking as of now to our business. That's the way we are now structured, keeping in mind that part of our group -- Kai Bockmann joined us last year in January 2012 as the one leading the International Division. So essentially, the way that we are set up and the way that we are looking to our business now is essentially the right move in terms of the way that we will present the financial information.
Irene Nattel - RBC Capital Markets, LLC, Research Division: That's great. And on that, on the whole international, is it fair to think that possibly, as you -- in the past, whenever we've all thought about international acquisitions, we've always focused on cheese. But does Morningstar open up a whole bunch of new possibilities for you.
Lino Anthony Saputo: I think as we look at our strategies for international businesses, Irene, we're looking at really dairy products, and the entire world of dairy products, whether that would be in a liquid form, a solid form or a powdered form. That was true even before the Morningstar acquisition. In fact, if we look at our product portfolio that we are currently selling into the international markets, they do include powdered products and cheeses. And perhaps, someday, there might be, where it's possible, some other dairy ingredients or blends for ice cream and perhaps even maybe coffee mixes. So again, we're looking at the whole dairy world in terms of our platform for growth.
Irene Nattel - RBC Capital Markets, LLC, Research Division: That's great. And one final question, if I might. It's now been a full quarter since you got Morningstar. Could you give us any insight into what your initial thoughts are around what you've acquired and how it might be integrated on a go-forward basis.
Lino Anthony Saputo: Well, we're still extremely excited about the Morningstar acquisition, which we've now renamed Dairy Foods USA. Again, I'm thoroughly impressed with the management team, impressed with the facilities. Of course, there's certain things that we're learning from the folks out at the Dairy Foods and Dairy Foods is learning from Saputo's management style and management approach. I think there's a lot of compatibility there. I think there's quite a bit of opportunity for us to further develop that platform. So again, we're extremely excited about having those assets under our responsibility and part of our large family and large team. And again, I've said this in the last quarter, if there are other potential acquisitions within that space, we're motivated to continue growing that platform.
Operator: Our next question comes from the line of Martin Landry with GMP Securities.
Martin Landry - GMP Securities L.P., Research Division: When I look at your financial statement notes, you indicate that on a pro forma basis, including Morningstar, you would have recorded $530 million in net earnings in fiscal '13. If I calculate that correctly, it looks like it's an accretion of 5%. It seems to differ a little bit from the accretion of 11% that you were talking about in the press release on the day of the acquisition. I'm just looking if -- has there been any changes that would reduce your accretion level from Morningstar?
Louis-Philippe Carrière: No. No, essentially, it's the -- no. The accretion that we -- no, the accretion or essentially the pro forma that we presented at the time of the acquisition is essentially -- was in line. What you're referring to, I can get back to you on a separate basis. Honestly, I'm going to have to go and dig into the note of the -- I think, the 25 notes that we have into the financial statement. It's precise detail, so -- but I can get back to you during the day.
Martin Landry - GMP Securities L.P., Research Division: Okay. That would be great. Can you share with us the contribution of Morningstar in terms of revenues and EBITDA for the quarter?
Louis-Philippe Carrière: No, because they are combined with the USA sector, essentially -- as they are presented, actually.
Lino Anthony Saputo: And perhaps, maybe the only thing that I would add to that, without specifically talking about the numbers, as we look at the Morningstar business and you look at the EBITDA that we had published at the time of acquisition, we need to understand that there is some seasonality built into that. And so there are some periods of that specific platform where volume will be higher than other times within the year. So you need to keep that in mind as you look at the potential performance of the platform.
Martin Landry - GMP Securities L.P., Research Division: Okay, that's helpful. And lastly, the -- in Canada, the Canadian Dairy Commission, they announced accretion of a new class for milk as a 3(d). That's going to be sold to restaurants for the mozzarella. Can you give us any -- will that have any impact or any changes on your gross profit dollars going forward?
Lino Anthony Saputo: The way that the -- the way that this program works is that you would have to have the end-user pizzeria that would have to register to be applicable for this program. Essentially, the cost reduction would be in milk. And that milk cost reduction would be transferred over to the end users in their cost of pizza cheese sold. It's a direct bypass. It just gets passed right through to the end user. So to answer your question, no impact to the EBITDA generation for Saputo.
Operator: Our next question comes from the line of Michael Van Aelst with TD Securities.
Michael Van Aelst - TD Securities Equity Research: I'm going to start with a few follow-ups to earlier questions. But you talked about restating your results or are changing the way you break out your results. Will you be able to provide us with quarterly restatements so that we can see what they look like for the last 4 quarters?
Louis-Philippe Carrière: So just for clarity, we're not restating, let's say, our results. The way that we -- as soon as we're going to publish our first quarter, so certainly, if we're going into the right direction, that we're going to report with the 3 segments I just mentioned previously, a comparative figure will be in line with that new presentation.
Michael Van Aelst - TD Securities Equity Research: But we won't be able to get all 4 quarters -- trailing quarters -- or all 4 quarters for fiscal '13 sooner?
Louis-Philippe Carrière: I don't think so. That was not -- essentially, it's going to be published throughout every quarter. But if there's anything that we can do in the first quarter to accommodate, we'll do it in the -- with the specific publication of our first quarter results.
Michael Van Aelst - TD Securities Equity Research: That would be helpful. Okay. So when you look at the fact that you guys have split out the division for international now, does that give us any -- should that be an indication that you're looking to export more from North America?
Lino Anthony Saputo: It's an indication that we're focused on growing the international platform. We talked about the hire of Kai Bockmann over a year ago. The idea was to, one, manage the international assets that we have. And secondly, to explore new territory and new areas where we can find either more sales or perhaps even platforms where we can manufacture. So the idea of this is really to set it up as a division onto itself that would focus on its potential for growth, even if that means that perhaps, we could take some product from North America and sell it into the international markets to the degree that we can make some profit with it.
Michael Van Aelst - TD Securities Equity Research: Okay. Turning to the Argentinian business, you talked about pressure on the export markets for you. I guess you had some raw milk increases domestically that you've been able to pass on but you haven't been able to pass that on internationally. With the international prices higher now, are you starting to see the benefit of those higher international prices?
Lino Anthony Saputo: This last fiscal year was challenging on -- for the export portion of Argentina's business. We believe that this upcoming fiscal year, the one that we are currently operating in, will be more favorable than last.
Operator: Our next question comes from the line of David Hartley with Crédit Suisse Securities.
David Hartley - Crédit Suisse AG, Research Division: I just wanted to ask you whether you can break out how food service performed versus retail in the quarter.
Lino Anthony Saputo: Actually, both the food service and retail were stable to slight growth. Having said that, in both channels, we experienced in Q4 quite a bit of competition. We had, at the retail level, competition with other retailers or branded products trying to take on market share. And this is why you see our promotional activity was slightly increased in the Q4. And similarly, on the food service side, there was quite a bit of competition, which did affect some volume that we would historically had, had that we lost in the fourth quarter.
David Hartley - Crédit Suisse AG, Research Division: Okay. And what's the outlook, you think, for 2014 fiscal year? Do you expect more of the same in the early part of the year?
Lino Anthony Saputo: I think that the markets are becoming more and more competitive. If I look at specifically the Canadian business, where there is relatively no growth, that's always been challenging and always been competitive, and I don't see that changing anytime soon. Again, our infrastructure, I think, is quite effective and quite efficient and I think we can compete quite well. And unfortunately, sometimes, in order to remain efficient, we have to take some decisions, as we did with the closure of the 2 facilities and the rationalization of our distribution activities in Montréal. I mean, those are -- that's par of the course. I mean, there are decisions we have to take in order to remain competitive. The same could be said for the United States. Milk sheds are growing. The growth in consumption sometimes could be volatile and the competition continues to be ferocious. It's up to us to make sure that we are effective, that we're efficient, that we maintain our volumes and maintain our margins at the same time. And that's a pretty tall order, but I think we've got the infrastructure, the people and the focus to be able to get that done.
David Hartley - Crédit Suisse AG, Research Division: And the most recent acquisition, does that help in any which way? Because you mentioned as a complementary business, but does that help you competitively in any way?
Lino Anthony Saputo: The only way that it would help us is if we're going currently to one customer with cheese that is also purchasing other dairy liquids like the creamers and/or ice cream mixes and coffee blends, then perhaps, the fact that we are an incumbent or that we are a good provider, that provides us credibility to try to expand our presence in other categories of product. That being said, there are no real synergies between the Dairy Foods Division and the Cheese Division. And I think was quite clear when we made the acquisition, that we would not see any major improvement to the EBITDA generation within the first couple of years, until such time that we would make other acquisitions that would perhaps allow us to make some efficiency initiatives or rationalization changes.
David Hartley - Crédit Suisse AG, Research Division: Okay. And just a final question, and just on acquisitions. I mean, given Morningstar, for years had -- I guess that division was looking to be combined with something else under different ownership. I mean, how confident are you today that you can find assets, businesses that would be synergistic with Morningstar going forward. From a U.S. perspective or, as you know, I'd like to ask these type of questions about international trade facts. I mean, is it more set up for something like that? Should 1-day changes in regulations around the world affect your business?
Lino Anthony Saputo: I think both would be the case, and probably the most immediate would be acquisitions within the U.S. that would either complement or enhance what the Dairy Foods Division is doing. You're asking how likely is it? I think it's very likely. I think there are -- in that space and in the categories of product that Dairy Foods processes themselves, you've got quite a few national competitors, as well as some, and perhaps even more, regional players that could really fit our platform and be a real nice tuck-in business for us. So I think there are multiple targets out there. It's a question of finding the right one or finding one that has a desire to sell as much as we have a desire to buy them.
Operator: Our next question comes from the line of Vishal Shreedhar with National Bank Financial.
Vishal Shreedhar - National Bank Financial, Inc., Research Division: Lino, given the most recent acquisition in the U.S., I was hoping you could update us on the key U.S. performance metrics that your team follows to monitor ongoing performance. In particular, I was hoping you could comment on the validity of the milk-cheese spread and how much your team monitors that to gauge performance?
Lino Anthony Saputo: Well, let me answer the second question first. The milk-cheese spread is still a variable that we look at, however, less important to us today than it was prior to say, 2006, when we made the Land O'Lakes and Alto acquisitions and started adding some weight rank capability to our platform. Milk cheese spread, still, yes. We track what's going on in the USDA. We track what's going on in California. But we don't live and die by the cheese spread anymore. There are other variables that we look at. And there are a number of different things. Block price is important for us, where the block price sits beyond the cheese spread. Whey pricing is important for us. We look at the other ingredient cost, non-fat, dry milk and others that are important variables for us, as well as you look at the international markets for other ingredients. Those are all important variables for us. So as important as a milk cheese spread used to be prior to 2006, today it's one variable amongst many variables that we look at. In terms of matrixes, we're a very simple company. We don't look at -- we're not analysts and we don't look at formulas to dictate or determine where our profitability should be. We take a very fundamental approach of customer-by-customer, product-by-product, and line out exactly where we think we need to be in terms of EBITDA generation on a per pound or per kilo basis. And that's as simple as we can look at it. And then at the end of the day, we roll up the numbers and we come up with an EBITDA generation for the enterprise, and we'll determine whether we're satisfied or not satisfied based on what we believe we can attain or achieve on an efficiency perspective, on a selling price perspective and fundamentally, an EBITDA-generation dollar perspective.
Vishal Shreedhar - National Bank Financial, Inc., Research Division: That was helpful. In terms of Morningstar, given that -- or the former Morningstar, given that, that business is a -- has a unique product mix relative to the residual of the U.S. business, can you tell us the key metrics that you use to monitor that business? Or do you very much look at it as a whole?
Lino Anthony Saputo: There are key things that we look at there. And again, we look -- or there's a couple of different categories of products within Dairy Foods USA. You're looking at the ice cream mix, the coffee creamers, the indulgence business, the cottage cheese and sour cream. Each one of those are defined independently and individually. We look at our volume matrixes and we look at also the ingredient cost for each of those categories of products. And within each of those categories of products, there might be a different regulatory system that would dictate the price of the cost of raw materials. At the end of the day, no matter what happens in the dairy space, cost of raw materials are key. And how you can extract the efficiencies from the cost of raw materials will make you either a winner or non-winner within our space. So again, the same principles that we apply at Saputo Cheese USA, the same principles that we apply in Saputo Canada or in Argentina are the principles that we will employ in Dairy Foods.
Operator: Our next question comes from the line of Peter Sklar with BMO Capital Markets.
Peter Sklar - BMO Capital Markets Canada: In your discussion of the Canadian and U.S. business, you talked about the business was negatively impacted during the quarter by ingredients mix. Can you talk a little bit about what's going on with whey, and why you're not getting as fruitful a mix as you were in previous quarters? Is there something to do with end market demand or looking for a less developed product or what's going on?
Lino Anthony Saputo: It's more related to demand on the market than the developed product, Peter.
Vishal Shreedhar - National Bank Financial, Inc., Research Division: So can you be a little -- can you just elaborate a little bit about what's going on, like what's the market looking for versus previous quarters?
Louis-Philippe Carrière: Well, there are a number of things there. One is the whey variable, the whey factor that influences the milk price. But then there are other ingredients that we do use within our mix that are based either domestically priced or internationally priced. And there's fluctuations based on those ingredients that we use. So it's not just the whey variable that will affect the milk price. The whey variable will affect the milk price when we're looking at the USDA system and the California system. And that's a factor of increasing whey pricing will increase the milk cost and a decrease in the whey pricing will decrease the milk cost. But beyond that, there are other ingredients that we're using to stabilize and to improve our operations from a quality and cost perspective that are sometimes sourced domestically and sometimes sourced internationally.
Peter Sklar - BMO Capital Markets Canada: Yes, but I'm confused. Like I'm looking at your writeup, you talk about -- when you're talking about the U.S. business, you're talking about a less favorable dairy ingredients product mix. So I think you're referring there to the -- to what you're realizing on when you sell the whey byproduct domestically and international markets.
Louis-Philippe Carrière: Yes. And we're referring to product that we are selling. So there are some, in the category of the dairy ingredients, there are some products are more profitable, less profitable. So the mix in this quarter was less favorable than last year.
Lino Anthony Saputo: And I think where the confusion is, Peter, I think I'm understanding this. When we talk about ingredients, there are 2 types of ingredients. One is the ingredients that we use to manufacture product. And the other one, which used to be, I think we called it in the past, industrial business. It's an ingredient business. They are ingredients that we actually manufacture and sell to market. And perhaps that might be where the confusion is.
Peter Sklar - BMO Capital Markets Canada: Right. But you have a big business selling whey. Like how did you -- is that what you call a dairy ingredient? Do you call that business dairy ingredient?
Lino Anthony Saputo: That would be categorized right now as a Dairy Ingredient. And when you look at product mix in there, it's anything from whey powder to WPC35%, WPC80% or WPI.
Peter Sklar - BMO Capital Markets Canada: Right. So I understand all that. So where -- so given everything you've just said and given the spectrum of things that the language ingredient covers, where was the weakness?
Louis-Philippe Carrière: It's just the mix of the product, Peter, that we essentially resolved in less favorable -- that were less favorable this quarter compared to last year. So essentially, there's -- in the category of product that Lino was mentioning, there are products that are certainly more profitable when you're expanding in terms of the product, firstly. And this quarter, the mix of the product was less. It's the same as let's say for the cheese business, mix of product for cheese as let's say commodity, if it's -- if you have a better blend with specialty cheese, you're going to have a better mix of product. So essentially, what we're saying is this quarter, it was the mix of product was less favorable for us than it was last year. So that means that we sold product at, let's say, lower end in terms of product development, in terms of product, the product category, per se, so which was less favorable for us.
Lino Anthony Saputo: The other side. On the sales side, Peter.
Peter Sklar - BMO Capital Markets Canada: Yes. Okay, I get that now. In the outlook section, when you're talking about production capacity in the CEA division, you have some statistics, 27% and 34% for cheese and fluid milk, respectively. Could you explain what those statistics, exactly what they represent?
Louis-Philippe Carrière: They represent the excess capacity that are available for additional production. But then essentially, we're not publishing for the U.S. As we always said in the past, in the U.S., due to the fact that we are able to reach to, let's say, the highest level of capacity; here in Canada, we can't because there's some regulation on a provincial basis. So that's why we have available capacity. Are we able to fill that through -- certainly, we're going to be able to reduce that from time to time with the announced closure of or rationalization that we announced last March in Canada. But other than that, we're living with the system that we have.
Peter Sklar - BMO Capital Markets Canada: Right. Okay. And just my last question. On the -- a question on the Canadian market, these pizza prep kits that are being brought into Canada duty-free, does that -- 2 questions related, does that continue? Is that still growing and continuing to displace your mozzarella cheese sales? And in the U.S., are you supplying any of the players who are exporting these kits into Canada?
Lino Anthony Saputo: Let me answer your first question first. It is still coming in, and it is still growing. With respect to specificity of our products and our customers, I prefer not to get into that kind of discussion. The only thing I can say is that we will be protecting our market share and we'll do everything we have to do to protect it.
Operator: Our next question comes from the line of Mark Petrie with CIBC.
Mark Petrie - CIBC World Markets Inc., Research Division: I just wanted to ask about the U.S. retail business. And I think in past quarters, you sort of commented that you hadn't participated in all the competitive activity that was going on, and you wanted to preserve margins as opposed to preserve volumes. This quarter, it seemed like it's a bit of a different tactic. Is that an accurate interpretation? And what was driving that?
Lino Anthony Saputo: Well, sometimes, you'd like to play offense but you're obliged to play defense. I think in Q4, we played a lot of defense. So we were -- yes, to answer your question more directly, we were active in trying to maintain our market shares.
Mark Petrie - CIBC World Markets Inc., Research Division: And what do you think the outlook is for the retail segment?
Lino Anthony Saputo: I think it will continue to be competitive. I think if you look at the announcements of some of our competitors, specifically in the U.S., about their intentions of growing their space, I think the competition will continue. We still have the #1 categories of products at the retail level. We want to maintain that position. And I'm challenging my R&D team to be more cost-effective at the plant level and challenging our distribution guys to be smarter on logistics so that we can hold on to our share of market without eating into our margins.
Mark Petrie - CIBC World Markets Inc., Research Division: Okay, that's helpful. And in terms of Morningstar, I know you don't want to give sort of specific numbers. But can you talk about sort of the change in year-over-year performance versus what they had done last year, when they're part of Dean Foods. And also, as it pertains to the inter-segment sales that Dean was reporting, how much of that were you able to retain?
Lino Anthony Saputo: It's very difficult for us to comment on anybody else's report. So we have no idea what was allocated in their reports or not. The only thing that I can comment on is if you refer back to our statements when we made the acquisition, the EBITDA generation at the time of our due diligence process, we still feel very comfortable and very confident that we made the right acquisition with the right EBITDA margins and multiples. And looking forward, I see no reason to be concerned about the generation of EBITDA at the old Morningstar, the new Dairy Foods. But with respect to someone else's report, I have no idea how they split their costs or how they made allocations, and I can't comment on that.
Operator: [Operator Instructions] Our next question is a follow-up from the line of Michael Van Aelst with TD Securities.
Michael Van Aelst - TD Securities Equity Research: First off, you talked about lower volumes in the U.S. I guess in the legacy business. Can you give us any indication as to what kind of decline there was and whether that was -- if that decline accelerated in the quarter?
Lino Anthony Saputo: Yes. The majority of the decline was in the Q4. If you're asking, have we responded to that, I would say yes. We -- it's not something that has continued or persistent. In fact, I would say that our focus is to go back and get some of that volume back at the market level, whether that would be at food service or at the retail level.
Michael Van Aelst - TD Securities Equity Research: So if I understand it correctly, the volumes that -- the volume decline you recorded in Q4 was worse than in prior quarters but you do expect it to recover?
Lino Anthony Saputo: That's precisely what I'm saying, yes.
Michael Van Aelst - TD Securities Equity Research: And then on the grocery side, can you give us an indication as to how the U.S. -- the exports to the U.S. are doing? And have you seen -- in the Canadian market, have you seen any noticeable change in the competitive environment and the lead up to Canada Bread exiting the Canadian business?
Lino Anthony Saputo: Yes, actually, I'll backtrack a little bit before I answer those questions. I talked in previous quarters how Lionel has given new life to that division in terms of initiating some very strategic changes, of which include a longer shelf-life product, which allow us to get into new markets where we were -- weren't as cost-effective to get into in the past. There are a number of other streamline items which I talked about in past quarters, that today are bearing fruit. I think that the bleeding has stopped, perhaps even 6 months ago. I think that we're looking at a more optimistic future for the Grocery Products division. Our penetration to the U.S. is good. It's slow, but it's very good. We're not looking for any immediate fires that are going to extinguish very rapidly. We're looking at those channels of sales, where we can not only sell once but have repeat business. And there are some key customers that we're working with currently and that we have some potential to work with in the future. So it will be a slow progress in the U.S., but it will be a long term, sustainable progress. Within the Canadian landscape, you indicated that there are and there had been a player that dropped out of the business. Their market share was small relative to what we have, but we believe that we can capitalize on some of the sales that they were having that ultimately we can pick up on.
Michael Van Aelst - TD Securities Equity Research: I guess more importantly, is it -- has it relieved a little bit of the pricing pressures given that there's less capacity in the market?
Lino Anthony Saputo: The pricing pressures, I think, are related to consumers' expectations and less related to competitive nature of the business. Vachon has got incredible brands that are well recognized by some consumers. And it is what it is, but the consumers expect to pay a certain price for those categories of product irrespective if there are other products on the shelf. So I think those issues and challenges with respect to pricing remain whether other players are in or out of the business. We've got good brands. We have great products, and we've got a lot more flexibility built into it. And I think that the margin improvement is going to come less from pricing, more from other initiatives within our operational structure.
Operator: And our last question comes from the line of Martin Landry with GMP Securities.
Martin Landry - GMP Securities L.P., Research Division: Just one last question on Morningstar. Could you tell us what major steps you've done with that business since you've acquired it? And what the major steps are left in terms of integration of Morningstar?
Lino Anthony Saputo: The first major step, which is stay-in-business-type of orientation, is we have to unplug from Dean Foods and replug into Saputo. So the majority of our focus is to make sure that our employees get paid. So payroll changes have to happen, and that was a primary focus. There are other services that, even before you get into the day-to-day operation of the business, that you need to make sure that when you open up the computers in the morning, you've got the information that you need to have. So the first and most important criteria was the unplugging from Dean Foods and plugging into Saputo. The next most important thing for me would be the administrative or accounting programs and systems, whereby we can have the numbers that -- in the same format that we're accustomed to having at Saputo so we can do the same types of analysis. All the while that this is going on, of course, we have customers that we need to continue to service and develop new products and look for new business. So all of those things are happening at the same time. And I'm confident that we have the right people in place to make sure that, that happens well.
Martin Landry - GMP Securities L.P., Research Division: Okay. And are you prepared to share maybe or quantify your synergy and cost reduction goals for Morningstar?
Lino Anthony Saputo: Well, I think I made it clear in previous conference calls that there are no synergies. This is a separate unique platform that we acquired, that we believe has strategic value to us. And their -- the assets and the infrastructure on the Dairy Foods side is very, very different from the assets and the infrastructure on the Cheese side. Perhaps, there could be some exchanges between Terry Bockmann and Kevin Yost in terms of strategies to go-to-market and perhaps how they can help each other out with some services, potentially. But in terms of real operational synergies, there really are none. And I think that was clear when we made the acquisition, and the announcements that we made, I thought we were pretty clear on that.
Operator: Mr. Saputo, I will now turn the call back to you. Please continue with your presentation or closing remarks.
Louis-Philippe Carrière: I'm going to jump in. Just to answer the Martin, the big question that he asked earlier, he was referring to Note 16 of our financial statement that we published -- our audited financial statement that we published today, and for which we're saying that on an annual pro forma basis, at the acquisition of Morningstar taking place on April 1, 2012, the company would have recorded $8.6 billion in revenue and $529.7 million in net earnings. That's $529.7 million in net earnings in comparison to what we post as net earnings this year of $481.9 million. That makes a difference of $48 million, $48 million out of the 197-close million shares outstanding. That means about $0.25 compared to $2.44, it's about a little bit more than 10% accretion technically. So that would be essentially the answer for Martin and for the benefit of all the people on the phone.
Lino Anthony Saputo: All right. So following LP's comment, Albert, are there any other questions lined up?
Operator: And there are no other questions at this time.
Lino Anthony Saputo: Thank you very much, Albert.
Unknown Executive: We thank you for taking part in this conference call. We hope you'll join us for the presentation of our fiscal 2014 first quarter results on August 6. Have a nice day.